Operator: Good afternoon, everyone. Welcome to the Superior Group of Companies First Quarter 2020 Conference Call. With us today are Michael Benstock, the Company's Chief Executive Officer; and Andy Demott, its Chief Operating Officer, Chief Financial Officer and Treasurer.After the speakers’ opening remarks, there will be a Q&A session. This call is being recorded, and your participation implies that you agree with this. If you don't, then simply drop off the line.Now I will turn the conference call over to Ms. Hala Elsherbini, Vice President of Halliburton Investor Relations, who will read the Safe Harbor statement. Ms. Elsherbini, the floor yours, ma'am.
Hala Elsherbini: Thank you.This conference call may contain forward-looking statements about Superior Group of Companies within the meaning of the Securities Act of 1933, the Securities Exchange Act of 1934, the Private Securities Litigation Reform Act of 1995 and all rules and regulations issued thereunder. Such statements are based upon management's current expectations, projections, estimates and assumptions. Words such as will, expect, believe, anticipate, think, outlook, hope and variations of such words and similar expressions identify such forward-looking statements, which includes statements on the impact of COVID-19 on the company's business, including inventory, supply chain, manufacturing capacity at the company's own and contract manufacturing facilities, service capacity and customer demand.Forward-looking statements involve known and unknown risks and uncertainties that may cause future results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties include, but are not limited to the following: the effect of the COVID-19 crisis on the U.S. and global markets, our business, operations, customers, suppliers and employees; general economic conditions in the areas of the United States in which the company's customers are located; changes in the market where uniforms are worn, where Promotional Products are sold and where call center services are used; the impact of competition; the company's ability to successfully integrate operations following consummation of acquisitions and the availability of manufacturing materials as well as the risks and uncertainties disclosed in the company's periodic filings with the Securities and Exchange Commission, including the company's Annual Report on Form 10-K for the year ended December 31, 2019, the Quarterly Report on Form 10-Q for the quarter ended March 31, 2020 and the 8-K filed recently.Shareholders, potential investors and other readers are urged to consider these factors carefully in evaluating the forward-looking statements made herein and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to update the forward-looking statements contained herein to conform to actual results or changes in the company's expectations whether as a result of new information for future events or otherwise, except as required by law. Please note that all growth comparisons that management makes today will relate to the corresponding period in 2019, unless otherwise noted.And with that, I will turn the call over to Michael.
Michael Benstock: Thank you, Hala, for the very long Safe Harbor statement. Good afternoon, everyone, and thank you for joining us to discuss Q1 2020 and our forward business outlook.Before providing an update on the quarter, the SGC family would like to thank all the frontline workers for their heroic efforts and selfless dedication to others. In these tumultuous times, our hearts go out to those directly impacted by COVID-19. I would also like to expressly thank our SGC family, whose passion and tireless dedication on behalf of the company and our customers has been absolutely extraordinary.Today, I will discuss execution of our strategic response to the ongoing pandemic, share performance highlights and discuss the current macro environment, after which Andy will provide operational and financial details during his remarks. I will then have some closing thoughts on our outlook.As I stated in my April 2 communication with shareholders, our global operations performed exceptionally well during a time of extreme pressure and uncertainty, while safeguarding the health and safety of our team members. Through early intelligence from our team on the ground in China, we took an aggressive posture and evolved our business structure worldwide to a work from home environment at an unprecedented pace. We accomplished this while continuing to achieve exceptional service levels.Our IT support team was extremely proactive, executing business continuity measures to equip our teams appropriately. Deemed an essential business, we mobilized our global resources to meet an extraordinary level of customers' evolving demands. Clients are reaching out to us to help them support, protect and elevate their brands. They understand we are more than just a company that supplies their employees who are the face of their brand with their daily attire. We are a valuable brand partner. Additionally, our distribution and manufacturing team members demonstrated operational strength and flexibility as we adapted to an evolving normal.Our executives have worked tirelessly, showing passion for our company and our customers, while our Board has demonstrated governance security and dedication to all stakeholders. We maintained business continuity and demonstrated organization-wide resilience, all while delivering increased sales and earnings.As I look back at the business investments we made over the past 18 months to strengthen our leadership, optimize our organizational structure, improve our systems and processes and elevate our innovation and automation, I can say in absolute terms that the foresight vision and proactive implementation of those investments were critical to our success today. Those investments mitigated significant risk and brought us to this historic time and a position of strength. Our redundant manufacturing and shared resources business model have served us extremely well. Our redundancy model meant that as shutdowns were taking place in some countries, we were able to coordinate product movement and shift manufacturing to alternative contract facilities, just as we have done many times before when circumstances required. Our distribution efficiency and logistics management process also excelled during the crisis, thanks to dedicated team members and excellent execution by our shared resources team.Our focus on achieving sustainable profitability in this current macro environment requires elevated business performance, enhanced risk mitigation and balance austerity measures. There were many decisions to be made. They were not easy decisions, but prudent given the severity of the situation. We maintained a sharp focus on our liquidity, and we've engaged in regular discussions with our banking partner. We have and will continue to fortify our balance sheet through proactive steps to increase available cash on hand, including, but not limited to, targeted reductions in discretionary operating expenses and through a substantial pay down of debt during the quarter. Andy will outline these actions further in his comments and review our overall cost saving actions, including a reduction in our workforce.Now let's take a closer look at how our operating teams rallied and serviced our customers' needs. For our Uniform segment, Fashion Seal Healthcare and CID unified and collaborated on every major opportunity, resulting in business with new customers, new product rollouts, increased sales and excellent service for our core customers. Our products such as isolation gowns, lab coats and scrubs are selling at an astonishing pace. In the last month, we booked in products worn by caregivers, what we normally would expect to book in a nearly 4-month period of time, producing record sales via our traditional laundry distributor and retail brick and mortar sales channels as well as our retailer B2C internet sales channels. We also have supported our retail channel partners at CID by implementing strategies to ease their burdens of operating their essential businesses.Additionally, our Uniform sales force is reaching new customer prospects to offer critically needed personal protective equipment, or PPE. And as a result of the agility of our global sourcing teams at BAMKO and the Uniform Group, we quickly added to our focus, sourcing the necessary products to support essential businesses as well as the production of PPE for businesses not being essential that will require these products once they reopen. As a result, we have significantly expanded both our capabilities and actual supply of needed PPE to those who need.We expect continued high demand in our health care offerings through the second quarter with potential for these sales to begin waning in the third quarter, assuming some resumption of normalcy within the next six to eight weeks. We are also still planning on our WonderWink in the scrub line launch tracking for the third quarter and are already seeing favorable market receptivity to this much needed retail focus, but health care laundry capable scrub. Much of our competition is dealing with weaker inventory levels, supply chain hurdles and the inability to adequately service their customers. This puts our new opportunity pipeline in a position of strength. We want to note that we have maintained price integrity throughout this crisis, while we've heard of others participating in price gouging. We value our reputation, which -- to continue to be trusted and reliable partners to our customers.As we have explained before, we also have a very diversified customer base within our employee ID business. Our largest channels of HPI, which we have some dominant market positions, to name a few, our big box retailers, grocery chains and pharmacies, their purchasing power, increased employee count has increased significantly. And we are supplying these essential businesses with products at much higher levels than prior and expect to continue to see robust sales trends over the near term. Conversely, nonessential businesses, including travel, dining and entertainment, are a smaller portion of our employee ID business. Understandably, their order flow declined dramatically or came to a halt. As a testament to our complementary businesses and shared resources, HPI has been able to augment traditional products offerings to include PPE items, servicing existing customers and new customers in our prospect pipeline. Overall, it's really too early to determine or predict how the offsets will eventually impact our results. It all depends on the rate of recovery for those businesses.As I mentioned, BAMKO, along with the Uniform Group's global sourcing team, pivoted to lead our efforts for PPE procurement production. Using our web development team, we developed a website and supporting marketing materials for PPE equipment. Our team is on the ground focused on ensuring product quality, reliability at the highest level. BAMKO is also working with several essential meal and grocery delivery services, producing safety kits for their shoppers and drivers. While new promotional product doors have currently nearly halted, the ability to pivot and provide critical supplies in a time of need will offset much of that reduction in the short term.To note, in April, we sold and delivered $13 million of masks to one of the world's largest fast food chain, which is currently not a uniform customer of SGC, but is a valued partner of BAMKO. We now have a path to further develop and convert this opportunity, others into a wider relationship with our other business segments and for BAMKO to further penetrate after the traditional branded merchandise market returns. As a result of this and many other smaller orders in this, we expect a record second quarter.As we've discussed on past calls, the Promotional Products industry is very fragmented. It's a very competitive field with over 22,000 distributors, and we anticipate the current crisis will challenge the industry with many competing companies closing their doors. This will expand our access to talented sales resources who will bring with them long customer relationships, much of which is easily adaptable by us. We already have a strong pipeline of sales talent, but we're taking a cautious approach with new hires until there's more of a level of certainty on their opportunity to drive sales. This will likely not occur until the end of the year. It is still too soon to know the long-term impact of the pandemic to BAMKO's business, and it's typically event-driven and a question remains regarding timing of return to normalcy around large gatherings.Now turning to The Office Gurus segment, or TOG. The effort to shift to work from home for this segment was a significant undertaking, as I discussed in my CEO letter. El Salvador staff was sent home simultaneously with the unexpected government declaration for a shelter in place, and we successfully lobbied the El Salvador government to lift laws preventing our employees from working from home. Over a 2-week period, we mobilized and shipped computers to employees, to their homes to facilitate business continuity. Our team in El Salvador hardly lost the beat. Currently, we're operating with 86% of our billable staff, and that is -- and for various reasons, at 86% and just 86%, and that is improving daily.On the flip side, we're working and running training classes for many of those agents who are not engaged with new and existing clients who lost service from other disrupted centers and need our services now. We anticipate move back to pre-virus operating levels at TOG by the end of Q2. The shift to the work from home model has produced great results. Our employees are engaged, and we see this as an opportunity to expand business capacity without significant future infrastructure investments being needed over the next few years.In the near-term, we do expect to see a shortfall in growth in TOG, but estimate sales will likely still be up for the year. The global macro environment is not offering much visibility. There will be an eventual recovery from this pandemic, though timing is uncertain, and the overall impact will be determined in part by the duration of this disruption. The financial market recovery may be V-shaped or U-shaped and may differ geographically, no one knows yet. We will continue to focus on things that are within our control, which puts planning for various scenarios and rely on our experience, resiliency, innovation and entrepreneurial spirit in the face of the formidable challenges ahead of us.I will now turn the call over to Andy, and then I'll return with my closing remarks.
Andy Demott: Thank you, Michael, and good afternoon, everyone.I hope you and your families are safe and healthy. As noted earlier, we filed our Form 10-Q for the quarter this morning, so I'll begin with a quick review of business process, investments and integrations summarize our financial highlights for the quarter and review in more detailed financial implications from the current COVID-19 crisis, as well as actions we've taken to strengthen our financial position.Over the last two years, we executed on several strategic initiatives that have transformed our operations with more efficiencies, innovation and processes that greatly enhanced our resiliency to manage through such unprecedented times. I cannot understate the superb responsiveness of our team serving our customers, while at the same time, successfully executing SAP implementations at both CID and HPI with minimal disruptions. Our integration of HPI and the rest of our employee ID group is also complete, and our teams are operating synergistically across our organization. We are experiencing a pause in construction at our Eudora, Arkansas warehouse due to weather delays and manufacturing delays related to the coronavirus. This has afforded us two quarters of deferment on our capital expense plans and another opportunity to conserve cash. But we do intend to get back on track. We plan technology investments as this is a key part of our modernization upgrades to support our shared resources strategy.Now on to our financial highlights. We closed the first quarter with consolidated net sales, up 8.9% to $94.2 million. BAMKO led the sales increase, contributing 6.7%; with our Uniforms and Related Products business contributing 1.6%; and The Office Gurus, our Remote Staffing Solutions segment, contributed 0.6%.At the segment level, Uniform's quarterly net sales were up by 2.4% to $60.1 million. Of note, ASC 606 revenue recognition accounting standard had a minimal impact on the current quarter revenues, as expected. While we do not give quarterly guidance, we do have visibility in the next quarter. We are seeing increased demand for our health care products at both Fashion Seal Healthcare and CID to support uniform and other PPE essential needs and weaknesses in uniform purchases in some employee ID channels that are considered nonessential and that are impacted by closures. So there will be an offset to an extent as many of our customers in foodservice are asking us to stock up on PPE mass and glove for their employees for their reopening.The Office Gurus reported positive results and grew sales by 6%. The division was tracking well with sustained customer demand prior to the disruptions from the pandemic. As Michael said, in compliance with the local government mandate, our El Savador operations went into shutdown mode for 1.5 week before being able to ramp up remotely. Outside revenues were negatively impacted by approximately $500,000 in the quarter as a result of this shutdown. Under this mandate, we were obligated to pay employees, even though they were not yet prepared to work, cannot work from home, chose to not work from home or because our customer no longer needed them to work.BAMKO delivered a strong first quarter with net sales, up significantly by 28.6% to $26.2 million. However, BAMKO has been the most impacted by the crisis. And as Michael mentioned, we are seeing significant declines in opportunities in traditional branded merchandise that would have been expected to have been converted to sales later in the year. The team has orchestrated a tremendous shift in operations to service PPE product orders and are filling significant orders in this area to help fill the revenue shortfall from traditional promotional business.For the first quarter, SGC consolidated gross margin improved to 35.5% compared to 35% a year ago. The slight uptick was generally due to customer and product mix. As a percent of net sales, consolidated SG&A expenses decreased to 29.2% compared with 29.9% in Q1 2019. The improvement is largely from sales growth leverage within all business segments. Changes in SG&A reflects severance costs and increased bad debt reserves recorded in Q1 2020.Let me provide some detail related to these expenses. In order to conserve cash and manage workforce cost, we reduced our workforce and implemented payroll reduction actions. We accrued nearly $400,000 in severance related to a reduction in workforce that will account for about $2.9 million in annual payroll reduction beginning at the start of Q2. Additionally, senior executives took a 20% salary reduction, and we applied a 10% payroll reduction for employees earning $52,000 or more. This amounts to approximately $2.4 million in annualized pay cuts. Reinstatement of full salaries will be reviewed as we navigate our way through the pandemic and its effect on our financial position. We also recently made the difficult decision to furlough additional warehouse workers in our Uniform segment. This equates to an additional annualized reduction in related payroll cost of approximately $0.8 million.We also amended our employer 401(k) matching contribution policy, which consists of two parts. As of April 1, we suspended our massive employee contributions. This reduced expenses by approximately $250,000 on an annualized basis. Separately, our annual discretionary contribution of 3%, which had been accrued during 2019 and which was scheduled to be paid in April of $1.2 million was eliminated and reversed. Additionally, we do not expect to make a discretionary contribution for 2020.And as a result, we did not make an accrual for this amount. On a comparative basis, in total, this resulted in approximately a $1.5 million reduction in expense in Q1 2020 in comparison to Q1 2019. This will result in a total reduction of expenses in full year 2020 operating results of over $2 million in comparison to 2019. These initiatives are key to maintaining our financial strength as we navigate uncertain times ahead. Overall reductions in payroll and workforce costs in excess of $8.5 million net of severance costs, are expected to be realized over the next year.Lastly, we took a more conservative approach to accounts receivable, booking over $700,000 more bad debt expense in Q1 2020 as compared to Q1 2019, specifically related to nonessential channels in our employee ID uniform offering in our Promotional Products segment. We believe this is a prudent approach given near-term uncertainty and our expectation that these businesses will have a slow ramp-up with potential difficulty meeting payment obligations.Income from operations increased to $5.7 million, and operating margins greatly improved to 6.3% for the quarter compared to 5.1% in quarter 1 2019.Overall, we delivered strong net income of $3.4 million, a 41.7% increase compared to $2.4 million in the year ago first quarter, and diluted earnings per share increased by 37.5% to $0.22 compared to $0.16 per diluted share in Q1 2019. Our effective tax rate for the quarter was 27.1% compared to 20.2% a year ago. The change in the rate was principally the result of the effect of foreign and state and local taxes between the comparable periods as well as nondeductible losses on assets held related to deferred compensation programs. We also paid a regular quarterly dividend of $0.10 per share. Given the varying depth and duration of these unprecedented circumstances, our Board has elected to suspend our regular quarterly dividend until we have clearer visibility on improved macro conditions. As you know, we have consistently paid a quarterly dividend since 1977. And longer term, the Board continues to view a sustainable recurring dividend as an important component of SGC's value proposition.In accordance with the previously filed 10b5-1 plan, which will expire on its terms in early May, we repurchased 43,458 shares during the first quarter. We do not plan to execute further share buybacks given our austerity measures until we have more market clarity and financial conditions improve.Turning to the balance sheet. To further preserve our liquidity, we were early in our discussions with our banking partner and are pleased to have entered into a debt deferment agreement as of March 30, 2020. This allows us to defer principal and interest payments for a 3-month period from April 1 to June 1, 2020, under our long-term debt obligations. We continue to be in close contact with our bank, exploring options to adjust amortization schedule going forward. Additionally, we utilized operating cash flows, including the large deposits received under contract obligations for PPE orders to pay down $18.2 million of debt during the quarter.Traditionally, we take a long approach on inventory as well as aggressively manage working capital to yield the best overall results for our business. As we have previously discussed, CID was in an overstocked position that was expected to take an extended period to work down to more appropriate levels. However, the current crisis has greatly accelerated working through this to bring inventory to normalized level in the second quarter.Moving through this large excess quantity of on-hand inventory will significantly reduce the need to offer deeper promotional pricing and potential write-downs in our operating results in the future, while also providing critical goods to meet the needs of health care workers on the front line of this battle against COVID-19.Additionally, we plan to continue to utilize cash generation expected in the second quarter to further deleverage our balance sheet. For the quarter, working capital decreased to $129.7 million from $142.4 million compared to last year. Overall, our financial health is strong. We ended the first quarter with approximately $5.8 million in cash and cash equivalents. While we are moving forward with key capital investments, we are improving our debt structure and prudently planning to ensure we can withstand a variety of potential scenarios that may emerge over the coming months. As Michael stressed, our diversified business model is a true strength in times like these.Finally, I would like to reiterate that through this extraordinary situation, one that can rapidly change and create unforeseen additional disruptions; our teams have stayed focused, flexible and determined to continue to service our customers and communities exceptionally well.I'll now turn the call back to Michael for his closing remarks and review our outlook for 2020.
Michael Benstock: Thanks, Andy.Overall, we are extremely impressed and proud of the level of planning and execution across our organization. From the beginning of this COVID-19 health care crisis, the decisions and actions taken by our teams have been guided by three principles: doing what's best for the health and well-being of our team members, supporting our customers as their needs evolve and maintaining our organization's financial health. Our teams respond with innovation, resolve and meet needs of our customers and communities. The global need for health care supplies and for courageous healthcare professionals is greater now than at any other time in our lives.Our company's philanthropic nature is an important part of our rich legacy. We are eager to support our health care workers and the communities in which we work and live in now more than ever. We have allocated at retail value inventory in PPE worth approximately $5 million for donations in support of our frontline caregivers. We have designated donations to our communities in Arkansas, Florida, Texas, New York, El Salvador and Haiti. We are proud of our ability to contribute in the fight against COVID-19. And while we are tightening our belts in many ways, we're also supporting our global employees and their families by providing the appropriate PPE paying employee insurance co-pays, and increasing hourly pay for our hourly distribution and manufacturing employees. As we watch crisis developments unfold and as local authorities phase in return to work guidelines, we will take a measured approach, lagging behind to reduce as much health risk to our employees as possible.We're also actively implementing strict health safety measures at all locations to protect our workforce before returning to work. In addition to providing PPE for each employees, protocols include thorough and frequent sanitizing procedures through work -- throughout the worksite, employee temperature checks and physical distancing to keep everyone safe and mitigate risk. We're being highly proactive in our internal responses, and form the crisis management team tasked with overseeing contingency plans across all locations, including distribution and warehousing.So we are prepared as needed should the crisis extend for a prolonged period or there are times we must quickly adapt and ship back to evolving conditions. Even prior to the rise of COVID-19, we have been very intentional on our strategic planning, goal setting and scenario analysis, as we set our cars for long-term growth. We routinely take into account disruptions and economic downturns and adjust our priorities as needed. Admittedly, no one could have been prepared for the challenges of this crisis, but we acted and reacted with speed and agility to weather the storm. And our near-term outlook takes into consideration that there is still a great deal of uncertainty ahead, and we will be negatively impacted in our Uniforms and Related Products business in the second half of 2020.Additionally, while we entered into increased sales of the products that I mentioned earlier, we do not yet have clear visibility on the timing of the market recovery. With BAMKO shift in sales strategy, the team improved its growth cadence and achieved solid double-digit rates in 2019 and through the first quarter of 2020. We expect a record second quarter but there are a number of variables that will negatively impact promotional sales in general the rest of the year and could offset next quarter's expected significant gains.As noted earlier, competitive disruption gives us access to new hires with the book of business. The question is whether they have the capability to drive enough sales to offset the gap as they and their customers ramp back up their marketing efforts. With TOG, in the short-term, we expect lower growth rates than what the market is used to for 2020, but should be well on our way in Q3 and forward to accelerate at a faster pace. Of course, we are closely monitoring market drivers, and we will revisit our long-term outlook at year-end when we expect to have more clarity on the impacts of the pandemic.Our priorities are unwavering as we transformed our company into an even strong brand partner resource for our customers, focused on leveraging our innovation and entrepreneurial drive, executing our growth strategies and thoughtfully deploying capital. Our strength is derived from the hard work and dedication of our global associates. That was true when we started the business 100 years ago this week, and it remains so today. We are guided by our heritage rooted in these values and in our ability to overcome adversity. And in fact, come out of each crisis we have experienced in our 100 years stronger than ever. We are incredibly proud of the resilience and ingenuity of our team and their ability to rise to the challenges we face, even in the most turbulent of times. As an organization, we remain focused on our long-term value creation and sustainability for all stakeholders.With that, we'd like to open the call for your questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions].And our first question comes from Kevin Steinke of Barrington Research. Please go ahead.
Kevin Steinke: I hope you're all well. So just thinking about the Uniform segment specifically here to start off with, it seems like at least for the second quarter, you should -- the businesses are going to balance themselves out pretty favorably to where you might not see a dramatic fall off. You've got strength in the health care business, strength in sales to your essential customers, and then that's offset by some of the more economically sensitive areas. So I mean, is that a fair way to look about it, maybe some protection to the second quarter in the Uniform segment? And then, I mean, I guess that kind of buys you some time until we get closer to a recovery.
Michael Benstock: I think you found the midpoint of all the different stress testing and models that we've done, Kevin that is how we see it. And I think you're pretty accurate in your assessment.
Kevin Steinke: Okay. All right. That's good. Do you think the -- I mean it's hard to tell, I guess, it's -- but do you think -- you've got the WonderWink launch still coming in the third quarter. Do you think from what you're seeing now or is it too early to tell that there's continued lags in the health care demand and in Fashion Seal Healthcare and CID, excluding that WonderWink, the laundry friendly launch?
Michael Benstock: Let's take it in its pieces here. Fashion Seal Healthcare on the institutional side, I think will do quite well in the future. I can't speak specifically the third quarter or what kind of -- when this thing is over and everybody goes back to work and elective surgeries begin again, what kind of demand is going to be for reusable products. But there was a mention by Vice President, Pence, on one of the channels last week or one of the press --
Andy Demott: Briefing.
Michael Benstock: Thank you. Briefings that he did. Lost for words, not often. With respect to the fact that shouting out to the reusable industry for all that they're doing and that there needs to be a movement as much of this product as you're going to use in the future. And as often as you're going to change this product in the hospital while they're in a hospital, whether it's an isolation gown, whether it's a scrub no matter what it is, even patient apparel. There's going to be a higher rate of changing -- making people change their clothes more often during the day. That bodes well for us. That's our business.Keep in mind, too, that most of those products for Fashion Seal Healthcare are made near shore. So our turnaround time isn't that great. If I were trying to react to an off, something that was being made in Asia or Africa or wherever, I'd have a five-, six-month turnaround of that product, it wouldn't really help me in third quarter. So we're thinking Fashion Seal Healthcare has got a pretty good runway to sustain through those quarters.The CID's business. CID is making a lot of deals on a lot of different levels and a lot of different channels. We're worried about the independent retailers. And particularly the smaller ones and how they're going to come out of this. We're doing all that we can to help support them. They're important to us. They're not the lion's share of our sales. But that's how the company got started, and those were -- a lot of those people were our very first customers at CID, and they're great brand ambassadors for us. But my fear is that many of them won't make it. And so we won't have them as customers anymore. But is there going to be a demand for products at retail? Sure, there will. The Internet channels have, I think, done quite well. And a lot of those retailers have their own Internet channels. Some of those are their own, some of those are Amazon, but related.But I think the health care business, if we -- we're going to be okay in our health care business throughout the year, is my own sense. The models that we've done, modeling it from every customer in every scenario, a start-stop scenario, a continuing scenario, a slow comeback to work scenario, the health care business looks good.I think where the stress is going to be is on the -- while we've seen great results from some of our largest customers in some of the largest verticals that we serve in which we're dominant in, we spoke about those pharmacy and grocery and big box and auto part stores, incidentally, which have been open during most of this. We -- they've hired a lot of people, hundreds of thousands of people, all good for us. We're selling them more uniforms. Or if there's some channels like movie theaters, as we spoke about that, we don't expect them to have strong sales in third quarter. Fast food, who knows. If we all went back to work next week or two weeks from now, fast food could pick up. A lot of it depends on whether they're still serving just at the window or whether customers actually can go inside or whether they're afraid to go inside or not. But certainly, by third quarter, I think most of this will flesh itself out. It's also summertime when a lot of people are traveling, and there may be more road trips than ever. So I would expect some of the smaller hotel chains to get busy. I don't know what the amusement parks are going to do. And I don't know that they know what they're going to do at this point.So that -- the HPI business is a little bit tougher to predict. But HPI has been working really, really hard selling their existing customer base, even those that don't have a date to go back to work. PPE equipment, because they know their 50,000 employees or 100,000 or 0.5 million employees are going to have that PPE equipment on when they go back to work. They're going to have to be masked and gloved at the very least, and we've been supplying a lot of those products to them.
Kevin Steinke: Right, right. So the increase, the large increase in PPE sales, that's going to benefit BAMKO and at least they'll have a strong second quarter because of that. And then afterwards, unless we somehow get a quick snapback in large events, we should expect to see that fall off in the second half of the year, I guess?
Michael Benstock: I would expect some of it will fall off, some people are going to trail behind and then realize they got enough to get started, but not enough for replenishment. It's important to note, and maybe I should have put it in the script. But we've sold over $60 million of PPE equipment, which we're trying to give divisional credit for it. And you could spread it out between our Uniform divisions at BAMKO with the lion's share of it being at BAMKO. But our Uniform divisions have done quite well. And quite frankly, everybody's collaborating with everybody to make it happen because of the different source of supply and the different relationships we have in the Uniform Group and in the Promotional Group.
Kevin Steinke: Right. Okay. So in The Office Gurus, you mentioned you expect to be back to pre-virus operating levels by the end of the second quarter. What gives you kind of a line of sight to being able to return to those levels?
Michael Benstock: Good question. Our billable agent is working 86%. And the reason why we're not working more is because there are some customers we have who needed less seats than they had before because their businesses are down. There are some customers who didn't need seats at all. For instance, we have a travel customer who didn't need seats at all, a smaller travel customer.And there are some customers who need more seats, but the net effect of that is 14% of our workforce is not currently engaged at home. A small percentage of those are people who can't work from home. They don't have Internet. They -- their conditions at home are too crowded for them to work from home in a call center-type of environment, a quiet environment they need. But here's the good news. We've already run classes for a couple of customers, new customers and expanding customers for new at-home agents that they want going forward.So we believe that most people on this call have met Dominic Leide, the President of that business. He says, by the end of second quarter, we'll be there. And so far, he hasn't been wrong in any of his predictions over the years. And quite frankly, it might even happen sooner. The line of sight of that is that we have a lot of customers who want us to put on more seats now, and we're doing so. And we have customers that are telling us who have either had to reduce or back off completely that as soon as this is over, they're coming back. So feeling very, very good about that.
Kevin Steinke: Okay. Good. Just following up on PP&E. What sort of margin do those sales generate? I mean, should we think about it as kind of a normal margin in line with the Promotional Products? Or what -- is that going to have any impact one way or the other?
Michael Benstock: I would say the larger deals tend to be at margins, maybe even a little bit less than the Promotional business. But keep in mind that we don't have to handle any of these, that a lot of these are full containers. A lot of these we took prepayments on, so we're not chasing money on them. So we can afford to take it at lower margins. So we've discussed this a lot of times that we don't chase gross margins, we chase net margins. And we really have modeled all these deals out to make sure in the end that we're making the kind of money we deserve, while at the same time, making sure we're not overcharging anybody.And I would say that the margins will be slightly higher for BAMKO on these items than they have been in the past.
Kevin Steinke: Okay. All right. Got it. I think you mentioned that the new opportunity pipeline is a strength or actually remains a strength, I guess, your ability to continue sourcing and very effectively would be one point in your favor, at least. You mentioned others might be price gauging. But just maybe talk about the new opportunity pipeline you have now and that might come to you because of this crisis, I guess, across all of your businesses.
Michael Benstock: Yes. You got a few hours, I'll give it to you -- I'll give you the short version. We've gone into strategic planning in the last week or so and started in each division some higher-level strategic planning, and we've done do just that, where are the opportunities? Where our competitors fail? And what opportunities will we have as a result and how has the world changed and so on and so forth.We'll start with our Uniform business, HPI. HPI's customers have been extremely impressed with the level of service they've gotten from us during this crisis. I think we built a lot of loyalty. We had loyalty, it's even stronger than ever. We have seen some competitors of HPI's that have not been able to service their essential customers, the people who remain in business. And some of those people have come to us, and we've been able to help here and there. But our first mission was to take care of our existing customer base. We certainly have touched more of HPI's prospect list by selling them PPE or offering them PPE than we ever would have imagined in this shorter time, that we've been able to do while having access to PPE. Many of the calls actually came to us. We didn't have to reach out. They came to us and said, look, our present uniform supplier can't give us PPE, do you have it? And we turned a lot of stones over to make that happen for them on the PPE side. So there's a certain amount of gratitude for having done that.I think when their business comes back -- fortunately, our biggest -- we have a little bit of airline business, JetBlue and Frontier, Spirit Air, we don't have a 1% market share. But fortunately, in the areas where we don't have a high market share, the hotel business, fine dining or cruise lines, we're -- it's not going to impact us at all. We think that the markets that we're in are going to continue to strengthen. They've been very strong as essential businesses. But I think as more people have come to rely on them during this period of time, we should see an improvement.Is there going to be, in some cases, a follow-up? Yes. It's really hard to figure out the offsets of that, Kevin. And we have done this so many different ways. And if I told you, I knew or believed one way or another stronger than the other, I would not be telling you in truth. So that's then.On the health care side, I feel strongly about their business. I mean our -- that business should not fall off at all. In fact, it's possible to imagine that our health care business overall between CID and Fashion Healthcare will be up this year. And that's what we're planning for and we'll plan to put in more purchase orders and bringing more product and bring it in sooner in order to service what we believe is going to be hospitals taking a different view, as I mentioned earlier of those products.When you get to BAMKO, BAMKO's business is very event-driven. And their event-driven business is almost nil now because there aren't many events. Is there going to be a pent-up demand for events afterwards? We don't think so, not immediately. We don't see there being a lot of events until the first part of next year. And certainly, and to a greater extent, once there is a vaccine, hopefully, there will be. But BAMKO are probably some of the most resourceful people I know, and they have found many other products to offer their customers. There will be a lot of marketing dollars still left on the table when this is over. And it could be with the more essential businesses who have been able to operate today and operate really at a higher level than they've ever had to operate with more people and more revenue and so on. But they'll spend more on marketing their brands. And keep in mind that we -- BAMKO sells to some of the country's largest delivery services for food and grocery, and their business is quite robust with us.So again, difficult to tell. Mike BAMKO's business will be off from what we budgeted, likely. Will it be off from what last year's sales were? I think it's going to come pretty close. It's just really too early to tell.
Kevin Steinke: Okay. All right. Got it. So you mentioned some delays in the Eudora facility filled out. What does that do for your capital expenditure plans for the year, not only that, but maybe just trimming back or delaying in other areas as well?
Andy Demott: Yes. Kevin, we -- that particular project, the delay in that by probably one quarter, 1.5 quarter, maybe two. Probably we'll reduce CapEx expense this year, around $1.5 million to $2 million. Additionally, we are taking a very hard look at all of our capital expenditures for items that were things that -- if there wasn't a payback relatively soon, we've delayed some of that. I would expect that where we originally budgeted somewhere around $12 million, $13 million for CapEx, that we probably will spend somewhere around $8 million, $9 million would be my expectation.
Kevin Steinke: Okay. All right. And then you had some really nice operating cash flow in the first quarter, you were able to pay down some debt. You've talked about the concept before if sales are coming down in this type of environment, maybe that doesn't happen right away in the second quarter because some of the items you talked about. But if sales do indeed come down later in the year, does -- you've talked about the balance sheet starts to turn to cash and you start to generate more cash flow temporarily. I mean, could you see an opportunity to pay down more debt in a scenario like that?
Andy Demott: Yes, I do see that opportunity, Kevin. I think that our balance sheet typically, whenever you're in an economic downturn, it does start turning back to cash. With the sales, I mentioned in my discussion with some of the significant sales at CID on what was excess inventory during the month of April, that, that will generate -- that's not inventory that we're going to replace. We just had -- we had more than we needed to have. So there will be some significant cash from operations for that. The part that you really can't evaluate effectively yet, I touched on it with the fact that we added another $700,000 in bad debt reserves. Some of your nonessential businesses that aren't operating right now are going to slow down paying for the receivables that they have. That will have some drag on cash flows, I would expect.Your guess on how much that is, right now is probably about as good as mine. But then at the bulk of our business, where Mike talked about PPE and a lot of those, we have required some substantial prepayments on those goods. So that we're not in a position of having to tie up a lot of our liquidity to be able to service that business. So I expect, as you go through the year, that we will continue to pay down debt. As you get into the third and fourth quarter and business slows down a bit more. I mean, you could see us -- it's potential there that we could borrow a little bit more towards the end of the year. But I think we're in a good position overall.
Kevin Steinke: Okay. Got it. And then, Andy, I think all the various cost-saving measures you outlined, it totaled about $8 million annual. Is that correct?
Andy Demott: It was $8.5 million.
Kevin Steinke: $8.5 million, okay. Are there other things potentially -- I mean, if you had to cut further, is there other -- are there other levers you can pull? Hopefully, it doesn't get to that point but in your --
Andy Demott: Yes, there are other things that we talked about generally that were discretionary spending. Obviously, our travel expenses are down significantly. Our marketing expense in certain parts of our business will be down significantly. There are other things that will generate cost reductions in addition to what we listed out specifically in that area.
Kevin Steinke: Okay. I think lastly, you mentioned upfront, Michael, how the investments of the last 18 months have been critical to what you're doing today, what you've kind of been able to accomplish or how you're able to manage through this situation. Can you just maybe touch on some of the benefits of those investments, not only in the near term, but longer-term as you see it?
Michael Benstock: Sure. I'll start with the leadership changes that we made in combining HPI and Superior I.D. together, finally, on 1 SAP computer system with 1 set of leaders, both the sales and executive leadership and everybody underneath them, we were able to achieve a great deal of economies and operating efficiencies. And going forward, as 1 unit as opposed to 2 fragmented units after so many years is really refreshing. And I think we've seen the benefit of that already with the opportunities that they've been working on and the way they have succeeded. And if you look at -- having done the same thing with Fashion Seal Healthcare and CID, and that really has been an incredible collaborative effort on every single level, sales, marketing, everything, operations, sourcing. It has been fabulous to watch. It's a very dynamic group of people, stronger than they've ever been, feel very good about that. And also, remember, we went live in SAP in Feb?
Andy Demott: Feb.
Michael Benstock: February. And I'm so glad we got it done before this. And the fact of the matter is, while things slowed down at the very beginning of this, a lot of people are already working from home and are given more time to train. And we've got a very, very dedicated workforce. Our sourcing groups, some of the changes we made there with the collaboration between BAMKO sourcing group and our Uniform sourcing group, has certainly paid dividends.There are so many different levels. We've closed Costa Rica last year, that was doing web development for us and shifted all that to India, which took most of last year. And the incredible resources we've had, and we've been able to get people up on, what we call BAMKOM, which is our e commerce solution. And being able to get all of our customers up on that, and I think we have -- I think we have two or three customers left, then we're basically done with that project. At much lower cost and really at a higher degree, I think, of excellence than we were able to achieve before. These are just some of the things. There have been so many I just can't make them all.Andy, you want to jump in and --
Andy Demott: I think we're also -- with the new warehouse project in Eudora, there were -- it will provide significant improvement in our efficiency and ability to handle the volume for the Uniform business. And we've also combined a lot of the distribution capabilities of the uniform sector to be able to help serve BAMKO in some of the markets that Michael referred to earlier with some of the home delivery companies and other areas like that, that we carry and service that inventory for them now where they weren't capable of doing that in the past. I think all of those things are paying significant dividends.
Kevin Steinke: Okay. Great. And just lastly, I'll say thanks for putting out that shareholder letter in early April. I thought that was very useful and very thorough in kind of framing what you're seeing in the market and relative to your business in these extraordinary times. So thank you and thanks for taking all the questions.
Michael Benstock: Thank you, Kevin, and be safe.
Kevin Steinke: You too.
Operator: The next question we have will come from Mike Disler of [indiscernible].
Unidentified Analyst: I hope you all are well. As a long and multi-decade holder and accumulator, a multigenerational holder with your family, Mr. Benstock, and as a long-term former textile guy, I want to laud the company's passion and agility in these trying times. You guys are really putting out a letter, but is the least of it, although Mr. Steinke answered most of my questions, you -- he directed them for you. I just want to say that I don't think there are many companies that speak with such direct clarity to their fundamental issues as you all do, and I'm really proud to be a shareholder as many of my cohorts. The only thing I wanted to ask in retrospect is, since that 1977 mark, and this does not reflect on me, it certainly makes no difference in my lifestyle at all, my only concern is on a go-forward, meaning three- to five-year basis, the choice of capital allocation, whereby you go from $0.10 a quarter to $0, even General Electric is paying $0.01, it puts you on a different lift in terms of access to capital down the road. So my question really is, not did the Board waive this, clearly, they did. Is it -- was it a covenant decision with debt? Or was it merely just a Board decision to say, let's suspend rather than go to $0.01 a share? I'm just only looking for the next three-, five-, 10-year period in terms of your ability to access capital markets.
Michael Benstock: Sure. I think that as we went through the process and discussed it really with the significant amount of uncertainty in our markets right now, I mean, that we felt it was best right now to go with the suspension route. We did, I guess, temper that a little bit, probably temper that a little bit, with the language that we, the company and the Board, certainly recognize that dividend is an important part of our capital allocation and value proposition for our shareholders.And I would expect in the long-term that we will be back paying a healthy dividend. It's just right -- it's not a specific covenant issue at this point. We're in compliance with all of our covenants. I mean, I think that one of the factors that the bank looks at whenever they're looking at where we're at, and when they came back with their three months deferral on principal, they looked at all the different factors that we were -- and steps that we were taking at that point, where we were talking about suspending the dividend for a period of time, management taking pay cuts, employees taking pay cuts, Board of Directors taking reductions in their fees that everybody was sharing in for the time being, and that gave them comfort.And it just puts us on solid footing, should we need to do anything else with the bank. I just think it's prudent with the level of uncertainty right now to go this way. I mean we'll certainly evaluate that after we get out of this quarter and see where we're at. And hopefully, this thing turns out that the economy starts improving a little quicker, and there's not a deep recession coming out of this, but we just don't know right now.
Unidentified Analyst: Right. And just to follow-up, just to say, I have no objection personally at all to your decision, I'm only looking towards the company, what would inure to the benefit of the company for the next 5 to 10 years in terms of that, where you're just on a -- you end up being on a different lift as far as those in the, where I live up here in the New York area, put you guys on. And I just don't want that -- I'm sure you all considered that, and it's terrific. And I know it's -- everything is a drop in the bucket, but it's not $150,000 a quarter on a dividend at $0.01, is a bunch of salaries or a bunch of co-pays for your employees. And I laud everything you've done and I don't want to dismiss it and sound like a petty fellow from New York. I really just called to make sure that all the eyes were dotted and teeth were crossed, and that's it. I don't mean to sound petty in any manner. So thank you all for the hard work and for protecting your employees, your customers, all the people. And please stay well and keep doing the job you're doing. And we really appreciate it.
Michael Benstock: Mike, thank you very much. I don't think we have any more questions at this point. Do we?
Operator: No, no, sir. I was going to go ahead and conclude, sir. I hand it over to you, Mr. Benstock.
Michael Benstock: Great. I stand here, it's 100 years in, I've been doing this for 41, my father, God bless him, he's still in good enough health to worry about the company every single day. His 90th birthday is actually on our 100th-year anniversary on May 7. We're scaling way back in our celebrations, obviously. We don't want to spend the money and we don't want to do large gatherings. So nonetheless, I think it's quite an achievement for a company to have achieved what we have over the years. We're very proud of our heritage. We're very proud of our shareholder base and our customers, of course, our employees. This is the most extraordinary group of employees, and I have to tell you that I knew how extraordinary they were before, but I never really understood how much they had to give as much as they've given during this crisis, and my hat goes off to all of them.I thank all of you for your trust and your support in the company. We look forward to updating you on the second quarter 2020 results in July. Please stay healthy.
Operator: And we thank you, sir, and to the rest of the management team for your time also today. The conference call has now concluded. At this time, you may disconnect your lines. Thank you, again, everyone. Take care, and have a great day.